Jake Lawrence: Good morning and welcome to Scotiabank’s 2015 First Quarter Results Presentation. My name is Jake Lawrence, Senior Vice President of Investor Relations for the bank. Presenting to you this morning is Brian Porter, Scotiabank’s President and Chief Executive Officer; Sean McGuckin, our Chief Financial Officer; and Stephen Hart, the bank’s Chief Risk Officer. Following our comments, we will be then glad to take your questions. Also in the room with us to take questions are Scotiabank’s Business Line Group Heads, Anatol von Hahn, from Canadian Banking; Dieter Jentsch from International Banking; and Mike Durland from Global Banking & Markets. We are also joined by James O’Sullivan, Executive Vice President, Global Wealth Management. As a reminder, this is the first quarter reflecting the bank’s realignment to three business lines. Before we start, I would like to refer everyone to slide two of our presentation, which contains the bank’s caution regarding forward-looking statements. I will now turn the call over to Brian Porter.
Brian Porter: Thank you, Jake, and good morning, everyone. I will start on slide four. I’m happy to report to our shareholders that we have solid results to start the year. Our results were driven by some positive business performances across Scotiabank, particularly in Canadian Banking and Wealth Management. We are also encouraged by the underlying trends in our key Latin American markets. Our geographic footprint and business mix allows us to generate sustainable earnings growth, not withstanding somewhat challenging conditions in various industries. We earned $1.7 billion of net income and delivered diluted earnings per share of $1.35, up 2% from the same period last year. Our Q1 results reflect a combination of good asset growth, improved margins, and growth in non-interest revenue. We continue to manage expenses prudently while making the appropriate investments to improve our customers experience and create greater efficiencies. As evidenced, we delivered positive operating leverage of 1% in the quarter. The bank’s capital levels remain strong with the common equity Tier 1 ratio of 10.3%. This strong capital position and on going earnings growth has allowed us to increase our quarterly dividend to shareholders by $0.02 to $0.68 per share. We are pleased with our Q1 results and remain confident that we have the right strategies in place to achieve our medium-term financial objectives. In a few moments, I’ll make some additional comments about the performance and outlook for our businesses. For now, I’ll pass the call to Sean.
Sean McGuckin: Thanks, Brian. I will begin on slide six, which shows our key financial performance metrics for the current quarter and comparative periods. As Brian mentioned, diluted earnings per share were $1.35, up 2% year-over-year. Revenue growth continues to be good at 4% year-over-year with higher net interest income from both asset growth and improved net interest margins. Non-interest income was also higher, driven by wealth management revenues, net gains on investment securities and insurance income. These gains were partly offset by a lower contribution from associated corporations as a result of our CI sale last year and also from hedging activity, primarily foreign currency hedges. Expense growth remains contained, up 3% year-over-year. This increase was driven by technology costs and software amortization to support business growth. As well, volume related expenses increased primarily from wealth management businesses and loyalty program costs. Our productivity ratio in Q1 improved by 50 basis points from last year to 53.7%. The bank delivered positive operating leverage of 1% in the first quarter. Moving to capital on slide seven. The bank continues to have a strong capital position. Our common equity Tier 1 ratio of 10.3% puts us well above regulatory minimums and positions us well for ongoing business expansion, both organically and through acquisition. The majority of the 50 basis point decline in our quarter-to-quarter Common Equity Tier 1 capital ratio was driven by the revaluation impact of liabilities relating to employee benefits arising from significant drop in long-term interest rates during Q1. This reduced CET1 by approximately 30 basis points. We managed our pension liabilities for the long-term and expect to recover this revalued liability short fall as rates move off extreme low levels experienced in Q1. For the month of February, we have seen approximately 40% of this impact reverse itself. During Q1, we repurchased 7 million shares, which contributed about a 15 basis point decline in the ratio. In addition to buying back shares to offset dilution, the bank also purchased shares at what we thought were opportunistic levels. As Brain mentioned, the bank increased its quarterly dividend by 3% to $0.58 per share. CET1 risk-weighted assets were up $23 billion or 7% from last quarter to $335 billion. The increase was due mostly to the impact of the weaker Canadian dollar on foreign currency denominated assets, as well as growth in personal and business lending and growth in counterparty credit risk. Our Basel III leverage ratio is 4.1%. Turning now to the business line results beginning on slide eight. Canadian Banking, which now includes the Canadian portion of wealth management and insurance businesses, had a good quarter. Adjusted net income of $815 million, up 6% year-over-year. Adjusted revenues were also up 6%. These results are adjusted for the CI contribution in last year’s comparatives and higher taxes on certain insurance activities, as a result of a tax legislation change. Loan volumes increased 4% year-over-year, with double-digit growth in personal loans and credit cards, as well as commercial lending balances. This growth was probably offset by the Tangerine mortgage run off. Adjusting for the mortgage run off, loan growth was good at 6%. Deposits were up 3% year-over-year. Retail chequing account balances are up 8% and savings deposits were up 4%. We saw a strong deposit growth towards the end of Q1 and we have seen this momentum continue into the start of Q2. Net interest margin rose 4 basis points year-over-year. Our asset spread was up 6 basis points, partly offset by deposit spread compression. Our performance in wealth was strong. AUM and AUA levels were up 15% and 11% respectively versus the same period last year driven by strong net sales and favorable market conditions. Provision for credit losses were up $30 million year-over-year to $165 million. The increase was primarily due to growth in higher spread retail products partly offset by lower commercial loan provisions. Expenses increased 4% year-over-year on the back of ongoing investment in growth initiatives and higher volume-related expenses. Overall, Canadian Banking delivered adjusted positive operating leverage of 1.7% to start the year. Turning to the next slide on International Banking. The business line now includes the international portion of our wealth management and insurance businesses. Net income was down 2% year-over-year. The quarter delivered strong loan growth compared to last year, particularly in Latin America. This is offset by higher PCLs, in part due to lower Banco Colpatria credit mark benefit this year, and a lower contribution from Venezuela. Foreign currency translation benefit was only $5 million, due to the mark-to-market losses on currency hedges of future quarter’s earnings. We would expect a greater foreign currency translation benefit in Q2 that increases in Q3 and Q4 if currency rates stay at these levels. Q1 saw strong volume growth year-over-year with loans up 10%. This was supported by strong underlying trends in Latin America, which included retail and commercial loan growth of 13% and 11% respectively. Low cost deposit growth in international was up 8% on the year. The margin was up 3 basis points quarter-over-quarter and within our range of 4.65% to 4.75%. This range reflects the realignment of the bank’s businesses announced last year. While the tax rate was unchanged year-over-year, both periods benefited from tax recoveries. Expenses were up 3% year-over-year, driven by volume-related expenses and inflation, and the business delivered positive operating leverage of 1.4% year-over-year. Looking at slide 10, Global Banking & Markets now include our Asia corporate and commercial banking businesses. Net income was up 4% from last year to $404 million. This quarter included strong result in equities and FX businesses, our performance was softer in investment banking. Total revenues are up 1%, compared to last year, with higher loan origination fees in volumes in the U.S and Canada, driving net interest income up 3% year-over-year, while non-interest income was largely in line with Q1 last year. Total corporate loan volumes were up 3%. But adjusting for Asia, which is repositioning into higher yielding assets and the impact of FX translation, our underlying corporate loan growth was up 8%. Provision for credit losses increased to $13 million this quarter compared to $4 million in the same quarter last year. This was primarily driven by one new provision in Canada. Credit quality remained high. Expense were down 5% over last year, due to lower business taxes and performance-based compensation. I’ll now turn to the other segment on slide 11, which incorporate the result of Group Treasury, smaller operating units and certain corporate adjustments. The results include the net impact of asset and liability management activities. The other segment reported an underlying net income of $43 million this quarter, up from $13 million in the same quarter last year. The year-over-year change was due mainly to higher net gains on investment securities, while higher expenses were mostly offset by lower taxes. This concludes my review of our financial results. I’ll now turn it over to Stephen who will discuss risk.
Stephen Hart: Thanks, Sean and good morning. The underlying credit fundamentals of the bank’s portfolios remain strong with internal ratings upgrades exceeding those of the downgrades this quarter. Quarter-over-quarter the overall loan loss ratio was down 11 basis points to 42 basis points on a reported basis and was well within our expectations. Adjusting for the Q4 2014 provision for credit losses for accelerated loan write-offs for bankrupt retail accounts from last quarter, the ratio was down five basis points. Gross impaired loans were up 9% quarter-over-quarter or up 4% excluding the impact of foreign currency translation. The increase was driven primarily by higher balances in our retail exposures and one-account in Global Banking & Markets. This was a Canadian E&P account that had an operational issues and had been on our watch list long before the commodity prices started to fall. Net new formations of impaired loans declined to $771 million Q1 from $816 million last quarter, but we’re up from the $408 million reported in prior years. Our average one-day all-bank VaR was $11.2 million, down from the $23.8 million in the prior quarter with two trading loss days in the quarter. The decline in VaR was the result of modern enhancements to the treatment of credit spreads in VaR. The enhanced models include treatment of credit spread in both VaR and Stressed VaR. Slide 14 shows the trends in loss rates over the past five quarters in each of our businesses. The underlying loss rates in Canadian Banking were up four basis points year-over-year, driven by higher retail provisions while commercial improves. This was more than offset by a six basis points improvement in the asset spreads, which reflect our strategic increases into the higher risk-adjusted margin products of cars and autos. The Canadian Banking portfolio credit quality continues to be strong. Meanwhile, International Banking saw loss rates up 22 basis points year-over-year with increases in both retail and commercial books due to the lower Colpatria credit mark benefit. However, excluding that credit mark, the underlying PCL ratio was stable, with a loss ratio of roughly 1.4%, in line with similar levels from a year ago. While loss rates were stable, International Banking provisions for credit losses on a dollar basis increased $68 million year-over-year, with approximately half of that increase driven by the reduced Colpatria mark benefit. Compared to last quarter, which had the notable items, international commercials ratio has reverted to more normalize levels. A higher loss rate in Global Banking & Markets was, as noted earlier, primarily driven by one new provision in Canada and continue to remain very low. Turning to slide 15, I wanted to comment on our oil and gas exposure, which remains an area of particular market interest. Our corporate loan portfolio has drawn exposures this quarter of $15.4 billion, up 20% versus the prior quarter. The increase was largely in our upstream and midstream exposures. However, approximately half of the increase in our total drawn exposures was driven by foreign exchange with loans dominated in U.S. dollars both in Canada and in the States. The remainder was related to a number of new deals which supported our higher grade clients in the industry. Our drawn exposures include roughly 55% in the upstream business and roughly 15% equally between each of the bank’s midstream, downstream and service exposures. Our undrawn corporate oil and gas commitments stand at approximately $12.7 billion. As you know, we run stress test often and update our market pricing assumptions regularly. At present, the effective oil prices assumptions used in our borrowing base calculations remain well below the current market values. As stated previously, we believe that our oil and gas exposure is manageable. And just to be clear, by manageable I mean, that any stress losses relieve the bank within our risk tolerances for both capital and loan loss provisions and would not affect our ongoing strategies. And with that, I’ll now turn the call back.
Brian Porter: Thank, Stephen. Before we open the call for questions, I’d like to comment briefly on each business line’s performance this quarter and make some brief remarks on our outlook. Canadian Banking had a good quarter overall. Margins were higher and we had strong growth in personal loans, credit cards, and commercial loan volumes. In addition, wealth management delivered strong earnings. For the balance of the year, we expect strong growth in higher margin credit card and auto loans. With the resulting shift in asset mix, we expect higher loss rates of the few basis points. Having said that, higher asset yields more than compensate for the increase. Expense management remains a key priority for the business. We will continue to reinvest in our platform to improve customer experience and efficiency and we are committed to delivering positive operating leverage for the year. Looking at International Banking, in Q1 we had a good start to the year, demonstrated by strong loan growth, particularly in Latin America as well as stabilizing margin. Higher provisions for credit losses reflected a reduced benefit from the Banco Colpatria credit mark, as well as strong asset growth. However, loss rates on the core portfolio are generally in line with volume growth. Expense management, again, remains a key priority for the international business and expenses remain well controlled and below local market inflation. For the second half of this year, we would like to highlight three factors that will drive the improved performance and earnings growth. Firstly, we expect to deliver low double-digit asset growth in our key Latin American markets, resulting in profitable market share gains in almost all products. Secondly, our margin is stabilizing as we earn through the impact of central bank rate cuts that we saw last year. And finally, we also expect expenses and loss rates to remain stable. Further, we expect foreign currency translation to be a tailwind as the year progresses. In our Global Banking & Markets division, we had mixed performances in Q1 across the business. Strong performances in our equities, FX, and trading businesses were offset by lower investment bank results. In Q1, credit quality remained high and the business continues to be focused on expense management. For the balance of 2015, we believe our platform continues to be well positioned for stable earnings growth. Our corporate loan portfolio should continue to provide good volume and earnings growth, partially offset by the repositioning of our balance sheet in Asia. Investment banking results are expected to improve with more favorable market conditions. Our trading businesses are well diversified and have loan earnings volatility. We expect Global Banking & Markets to benefit from foreign currency translation, assuming FX rate stay at around current levels. I’ll now turn the call back to Sean for Q&A. Following the Q&A, I’ll provide some final remarks. Thank you.
Sean McGuckin: Thanks, Brian. That concludes our prepared remarks. We will now be pleased to take your questions. Again, please limit yourself to one question and then rejoin the queue to allow everyone the opportunity to participate. Operator, can we have the first question on the phone please.
Operator: Absolutely, thank you. Your first question today will come from Robert Sedran with CIBC. Please go head.
Robert Sedran: Over the longer term, we’ve been accustomed to this bank having a low payout ratio and minimal activity in the buyback. And if I look at the new dividend been in place for this quarter, it would have been a 50% payout ratio and you bought back 7 million shares in the period. Has there been a philosophical change in the way you manage those items or is this just a tactical near term shift while you wait for growth to resume in the international market?
Sean McGuckin: Yeah, this is Sean, I’ll handle that. As we heard from Brian, we expect stronger performance in the second half of the year. So although we are at the higher end of the payout ratio now, we would expect to continue to grow into that payout ratio. In terms of the share buybacks, we’ve all said, we invest our capital for the long-term in our businesses. We saw an opportunistic level this quarter when our share price dropped to the low $60s and we deployed small amount of capital toward that. So really nothing changed in our philosophy around capital deployment.
Robert Sedran: And so Sean, are you suggesting then that the 45% longer-term, something towards the middle point of the range is more likely or are you comfortable with operating at the high-end of the range on the payout ratio?
Sean McGuckin: Yeah, we were at 47%, 48% last year and between 45% and 50% is where I think you’ll see us be.
Robert Sedran: Okay, thank you.
Sean McGuckin: The next call, please.
Operator: Your next question will come from Peter Routledge with National Bank Financial. Please go head.
Peter Routledge: Hi there, thanks for taking the call. Just on page 15, the oil and gas exposures. I wonder if you could give us, you may not have it, but I’ll ask it, if you could give us a breakdown of investment grade versus below investment grade across those categories or if you can’t do that, just what’s the breakdown of the undrawn?
Stephen Hart: Sorry, it’s Stephen, yeah what…
Peter Routledge: Investment grade versus below investment grade
Stephen Hart: Yeah, I mean investment grade across the spectrum is about 66%. Probably in the upstream area, it’s closer more to a 50/50 ratio. The midstream tends to be higher investment grade as does the downstream.
Peter Routledge: Okay.
Stephen Hart: The undrawn sector was 12.7% fully and that’s spread across all four of the sectors. So it’s in that same range sort of thing.
Peter Routledge: 65% okay.
Stephen Hart: Yeah.
Peter Routledge: Thanks and then just on international retail provisions. I mean, the international retail provisions were pretty good, but then I looked at formations and they seem to be rising even after you correct for currency. So is there something, can you give us sort of some backgrounds, what’s going on in international retail?
Dieter Jentsch: Peter, its Dieter Jentsch. International retail continues to grow at low double-digits in our major LatAm sites. We continue to forecast that being the rate and most of the increase that we see are volume related predominately out of our LatAm markets.
Peter Routledge: It looks like your formations are up as a percent of loans for the last two quarters, is credit getting worse and in what countries if so.
Dieter Jentsch: No, credits are not getting worse Peter, but we’re happy to take that offline and get back to with the calculation. But our credit is stable, our delinquencies are stable and we are not seeing credit deterioration of any significance at all in our major sites or in the Caribbean. So we’ll be happy to get you back with the calculation.
Sean McGuckin: The retail numbers did go up vis-à-vis the Colombia Colpatria marks no longer being applied, but when you net that out, there was really no movement.
Peter Routledge: Is that for formations though, the Colpatria the adjustment? Did that really apply?
Dieter Jentsch: No, sorry, I just said, we’ll get back to you on the finer details. Okay?
Peter Routledge: Thanks.
Sean McGuckin: Next question please.
Operator: Your next question will come from Sohrab Movahedi with BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Thanks, just a quick question for Anatol. I mean Anatol, when you look at the quarter, you look at the results, is this indicative of the earnings power of the segment that you’re running or where do you think you should be able to get this number to, because it looks to me like wealth in Canada was or wealth and insurance in Canada anyway was a bit late.
Anatol von Hahn: Yeah, Sohrab, let me divide this into two. Let me talk to you about the Canadian bank and then may be James can talk with respect to wealth in Canada. With respect to bank loan, we had our Investor Day. We talked about the five initiatives that we were focusing on in the Canadian bank. I’d say, we’re very much living that strategy and seeing the results of that strategy in each of those five areas. So towards your question about what do we expect to see in the future? I think you’re going to continue to see the type of growth that you’ve seen, very much focused in the retail, commercial, Tangerine, the credit card growth and also our operating efficiencies. So I think you’re going to continue to see this type of growth from us.
James OSullivan: And on the wealth side of the equation, let me start with Global Wealth. Global Wealth results, as you can see, we’re very strong, up 17% year-over-year. We saw that strength geographically across Canada and internationally. So in Canada, our earnings were up 13% year-over-year. Globally on the AUM/AUA side, assets up 13%, a very strong in Canada. AUM in Canada was up 15% year-over-year. So we’ve seen very good strength in earnings and in business performance generally in Canadian Wealth and frankly across all of Global Wealth.
Sohrab Movahedi: James, it looks to me like the expense to revenue ratio in Canadian Wealth was worse. I mean – maybe I’m looking at it wrong, you don’t really disclose it that way anymore, but were you comfortable with the expense-to-revenue ratio? Did you get the right operating leverage out of Wealth?
James OSullivan: This is was one of our best quarters ever for operating leverage in Global Wealth.
Sohrab Movahedi: What about Canadian Wealth?
James OSullivan: So in Canadian Wealth, I don’t have that number – but let me give you, revenue was up 7%, expenses were up 5% year-over-year. So it is north of 200 basis point in Canadian Wealth, north of 300 basis points in Global Wealth. So I think, this quarter we’ve got a story of good revenue growth and frankly, very good expense control.
Sohrab Movahedi: Thank you.
Anatol von Hahn: And I think that’s absolutely true across the Canadian Bank, when you look at the operating leverage at 1.7%, it’s a reflection of both Wealth and the rest of the Canadian Bank.
Sohrab Movahedi: Okay. Thank you.
Sean McGucki: Next question please.
Operator: Thank you. Your next question will come from Mario Mendonca with TD Securities. Please go ahead.
Mario Mendonca: Good morning. Could you help us benchmark your stress test in oil and gas against what we’ve heard from some of the other banks? First, if you could describe what your stress test entailed in terms of unemployment in Canada or – and rather, the decline in housing prices, a recession in Alberta. Anything you can help us to benchmark it against your peers?
Stephen Hart: We had a range of tests that we did. Unemployment range front increases of 1% to 5%. We had house prices dropping between 10% to 40%. We had oil prices at $50 for this year, $45 for next year and $55 for the following year. So we ran a multiple number of stress tests, so I can’t really relate to an individual one, but all of them, obviously if you – the more you push, the bigger the number, but on a reasonable going back over the last three or four recessions that we’ve had, all of them came up, as I said, well within our risk tolerance.
Mario Mendonca: In all of these scenarios including the really extreme ones, you are within your risk tolerance. Now just to help understand that, the other banks provided some measure of credit losses to help us understand what their risk tolerance means, so what would that level be for you in terms of credit losses?
Stephen Hart: I did see that a couple of the other banks provided some ranges. I mean, obviously, we’re running in the $40 million right now. We can easily run higher than that and still well be within our capital levels.
Mario Mendonca: Your credit loss risk tolerance, will that be 70 basis points, 60 basis points, the upper end of it?
Brian Porter: We don’t provide that information.
Mario Mendonca: Okay. One other question then. You referred to FX being a tailwind in International -- this is probably for Dieter or maybe for Sean – a tailwind in International in the second half. Now, first, I think the reason for this, of course, is that you hedge, but you don’t hedge the entire year. Is that the right way to characterize it, Sean?
Sean McGuckin: That’s correct, yeah. We put on some hedges for the first quarter and part of the second quarter. For one currency, we hedge the whole year, but we’ve left open the second half of the year and part of the second quarter. So as we then put on hedges to cover off those periods, we will be – for the modestly higher levels we see today. So we’ll see a marginal improvement in Q2 from what you saw in Q1, but then, even more so in Q3 and Q4.
Mario Mendonca: I’m trying to get to here now is like there are so many moving parts, so many currencies and it’s hard to tell how important this tailwind is. Is there anything you could refer to that would help us understand how important this is?
Sean McGuckin: Ballpark an extra $10 million to $20 million per quarter if it stays at these levels for IB.
Mario Mendonca: Right in Q3 and Q4?
Sean McGuckin: Yes.
Mario Mendonca: And that’s net earnings or revenue?
Sean McGuckin: Yes, yes, I think it’s net earnings, yeah.
Mario Mendonca: Okay, thank you.
Sean McGuckin: Next question, please.
Operator: Thank you. Your next question will come from Meny Grauman with Cormark Securities. Please go ahead.
Meny Grauman: Hi, good morning. There was an article about a week ago talking about Scotia being among lenders boosting loan volumes to condominium developers as regulators become less vocal about housing market risk. That was kind of the words of the article. I’m wondering whether you’d agree with that assessment, has there been a change in your perspective of the risk particularly in the condo market?
Brian Porter: I’ll ask Stephen to answer that one.
Stephen Hart: Sure. No, our lending guidelines have not changed and I think we’re comfortable with our exposure. We’ve held to our current levels for about the last three or four quarters. We have a good relationship with a number of the top developers both here in Toronto and in Vancouver. We do support them in well structured deals, but we have not opened up the books to the extent that we’re loosening our credit standards.
Meny Grauman: Thank you
Sean McGuckin: Next question, please.
Operator: Thank you. Your next question will come from Stefan Nedialkov with Citigroup. Please go ahead. Mr. Nedialkov your line is now open.
Brian Porter: We can move to next question and ask Stefan to re-queue if he has a question.
Operator: Thank you. Your next question will come from Gabriel Dechaine with Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Hi, good morning. First, on the capital situation, I get the reason for the pension hits and the subsequent recovery you’re seeing so far this quarter. I’m just wondering, Brian, if at current capital levels, your are still open to acquisitions and another form of the capital deployment I think is still an issue to offset some of the dilution that you’re dealing with on the CI sale last year?
Brian Porter: Sure. Gabriel, we’re still open to acquisitions as we’re looking forward to the Cencosud transaction closing next month, we believe, and the Citibank Peru transaction will be later this spring or this summer. And as you’ve heard me say a number of times, the bank has a history of being opportunistic. We’re always looking at acquisitions and we have capital to deploy.
Gabriel Dechaine: Okay. And just a follow up on the question on the stress test and peak loan losses, you don’t want to quantify it, but maybe Stephen, just looking at the Canadian P&C segment where I think it was Q2 2009, you had your peak financial crisis, loan losses of around 40 basis points. Because of the change in mix, especially in credit cards and auto lending, would you expect in a very stressed scenario that number to be exceeded by a material amount to 40 basis points or kind of not a big difference?
Stephen Hart: I wouldn’t say a material amount, Gabriel. But, yes, I mean, obviously, the mix has changed from seven years ago. So you would expect a higher elevated level.
Gabriel Dechaine: Okay. And my last question for Anatol, just to sneak that one in. Your comment towards – or answer to a previous question on kind of growth that you’re seeing in Canada and expect more of the same. I’d see Canadian earnings growth of 1.5%, 2% this quarter just the P&C business. Is that – I would have thought you want more than that.
Sean McGuckin: Meryl, this is Sean. I’ll just --
Gabriel Dechaine: Gabriel.
Sean McGuckin: Sorry, Gabriel, my apologies.
Gabriel Dechaine: We look the same I guess.
Sean McGuckin: Yeah. We mentioned earlier about the additional taxes that we’re now having on certain of the insurance businesses. So that’s reality. We’ve got to pay that. But if you reverse that for an underlying performance, the Canadian Banking was up 5% without the wealth.
Gabriel Dechaine: Okay.
Sean McGuckin: So pretty good results, but Anatol, you want to give any?
Anatol von Hahn: Yeah, in terms of as we look at the different businesses, we undertook to grow between 4% and 8%. We will continue to do that. And that’s what we are seeing into the future. So this quarter was right in that range.
Gabriel Dechaine: Okay. Thanks for that clarification.
Sean McGuckin: Okay. Next question, please.
Operator: Thank you. Your next question will come from John Aiken with Barclays Capital. Please go head.
John Aiken: Good morning. Stephen, can you just let us know what the undrawn corporate oil and gas commitments were as of Q4?
Stephen Hart: Sure. $10.8 billion.
John Aiken: Okay.
Stephen Hart: And now they are at $12.7 billion with most of that being foreign exchange.
John Aiken: Okay, great. So the up tick really is both FX as well as new loans?
Stephen Hart: Yeah, we’ve actually been very active in – I mean this is good news and bad news at this part of the cycle. Our good clients are looking for opportunistic positions and are creating war chests. So this is quite an interesting time period and we have seen some very good opportunities to assist their clients set those up.
John Aiken: Great. Thanks, Stephen. And, Dieter, if I may, in terms of the contribution that we saw out of Mexico was an increase this quarter, are we starting to see the reforms take hold and a little bit more optimism in terms of what the outlook is going to be for economic growth in the region?
Dieter Jentsch: Well, we see some very positive things happening in Mexico. The energy reform is only one of those packages, but the other patches of the labor reform, the financial services reform are starting to take hold. The biggest benefactor here tough is being the increased economic activity in the U.S. and the trade flows. And so that’s resulted in continued economic activity by both the businesses and, of course, employment numbers.
John Aiken: Great, thank you.
Sean McGuckin: Next question, please.
Operator: Thank you. Your next question will come from Darko Mihelic with RBC Capital Markets. Please go head.
Darko Mihelic: Hi, good morning. Thank you. A question for Stephen, if I’m looking at your supplemental pack on page 18, I see the new classifications in the quarter in Global Banking & Markets, that $88 million, is that all entirely due to that one account?
Stephen Hart: Probably about 80% of that is due to that account.
Darko Mihelic: Okay. And maybe just to clarify a few things because one of the things I’m really interested in is the decision to classify it as impaired this quarter rather than last quarter, is it less senior position or –?
Stephen Hart: No, it’s senior debt. It’s just in the – I can’t get into the specifics on the account obviously, but it was through negotiation, obviously, aspects of trying to restructure in the declining commodity market made it a little bit tougher. So we decided to be conservative and take it now.
Darko Mihelic: And how long was it on the watch list? Just curious.
Stephen Hart: I'd say, probably, two, three quarters.
Darko Mihelic: And has your watch list actually changed quarter-over-quarter?
Stephen Hart: No actually as indicated, I mean other than for foreign exchange effect, the watch list in number of accounts has remained stable across all three divisions.
Darko Mihelic: And then just lastly, Stephen, with respect to the growth that we are seeing in balances in foreign currency, some would tell me that foreign based oil and gas companies are more levered. What would your response be to that?
Stephen Hart: I think it various on a country by country basis, but that’s sort of a general statement. All I can tell you is how we structure our loan deals, whether it be in the U.S., Canada or elsewhere is that they are all structured on a very conservative basis. There’s lots of equity going into these deals, certainly in the U.S. which maybe has a little bit higher leverage. There is the advantage down there of a very strong, high yield market. So there is a lot of unsecured debt that underlies the – what is the senior bank portion.
Darko Mihelic: Okay, thank you. If I can just sneak one last question in for Anatol von Hahn. If I look at the changing mix in the Canadian Banking business and I make an adjustment for CI earnings, I still get year-over-year a lower return on assets. So you might be getting some incremental NIM and some better revenue, but I think the PCL is outpacing that improvement. Or am I not looking at that correctly?
Anatol von Hahn: I don’t think so. In terms of looking at the PCLs, our asset margins are going up in the retail bank, are going up 6 basis points and the PCL ratio is going up by 4 basis points. So we're actually net gaining. And if you look at the commercial bank, in the commercial bank we’ve had very record-type low PCLs.
Darko Mihelic: Okay. Thanks. Maybe I’ll come back with clarification after the call. Thanks very much.
Sean McGuckin: Next question please.
Operator: Thank you. Your next question will come from Stefan Nedialkov with Citigroup. Please go ahead.
Stefan Nedialkov: Yeah. How are you, guys? It’s Stefan. Second try now; hopefully working. First, on the efficiency ratio in the Canadian business, during the Investor Day you have guided to high 40%s in the medium-term. Just want to make sure that you are still keeping that guidance. And the second question on Mexico. Some of the peers in Mexico have become somewhat weaker over the past six to 12 months and some of them may be up for sale. What are your thoughts on potential availabilities for M&A and what is your criteria for that?
Anatol von Hahn: Okay. So let me take the first question with respect to the productivity ratio. We have continued to reduce the productivity ratio. We are now around 54.4%. We also – and I think as we discussed at the Investor Day, our mid-office in the branches has been a very successful and continues to be and we’ll see the final portions of it towards the latter part of this year. So I think we’ll see – continue to see efficiencies. Plus we have a number of other initiatives that are on their way towards continuing to bring our productivity ratio down. So, yes, in the medium term we are heading towards the high 40s.
Brian Porter: Stefan, it's Brian Porter. With regards to Mexico, Mexico is a market that we are very interested in. As I said on the Q4 call, we believe there is another round of bank consolidation in Mexico. We would definitely like to be a player across the board, whether it’s a commercial bank, a retail bank, we have an interest and as usual we’ll go about it in our usual thoughtful, disciplined way.
Stefan Nedialkov: Okay, thank you guys.
Sean McGuckin: Next question please.
Operator: Thank you. Your next question will come from Sumit Malhotra with Scotiabank. Please go ahead.
Sumit Malhotra: Thanks. Good morning. First question is for Sean on the pension impact on the CET1 ratio. So Sean, from your disclosure, it sounds like about 30 basis points sequentially as a result of the revaluation. And if I got your comment right, it sounds like 10 basis points to 15 basis points has come back as a result of market movements in February. So first off, at least from my seat, this seems like relatively large changes as a result of one month of market movements, albeit exaggerated movements in the market. So can you talk about, first off your comfort level on – for the fact that the CET1 can swing as sizably as it has over these last few months. And secondly, is there something specific to Scotia that is causing these movements to be with – seems to be larger than some of your peers?
Sean McGuckin: Yeah, so if you take a step back, we manage our pension obligations for the long-term and we saw some variability this quarter in the discount rate, which increased the pension obligation. But we would expect, this is not so much a capital usage, but a capital variability and we would expect this to back off these low rates. We will have a bit more variability than our peers. I think our pension assets are skewed a bit more to equities, but we believe in the longer term. And having a bit more equities and debt reduces the economic cost of our pension liability. So, the 30 basis points you saw this quarter would be towards the outer edge of our capital variability risk appetite pensions. But again, we would expect this so much – not so much a long term capital usage but a capital variability. And we do keep excess capital for some of these elements that show up in OCI. That's – we don’t necessarily have exact control over how the market may react in a short-term manner.
Sumit Malhotra: The fact that your pension obligations are skewed more towards equities, does that suggest that it’s more equity market movements that can have an impact on how the capital impact swings as opposed to long-term interest rates or is it still the rate factor that's most dominant.
Sean McGuckin: It is both factors; the rate factor, we have less debt, that's less opportunity to immunize the rate change. So a rate change on its own may give us a bit more variability, so it’s not just the asset side, it's mostly the discount rate.
Sumit Malhotra: All right. And then lastly is for Deiter in the international net interest margin. I know in Anatol's segment the mix change and adding more credit card exposures is certainly having a beneficial impact on them as well as the ING runoff. In your business we have seen another rate cut in Peru, yet margins were able to move higher. Would you attribute mix change in the portfolio as being a factor that can help keeping them more stable here despite the rate environment or is your business mix more status quo.
A – Dieter Jentsch: You are absolutely right, Sumit. This quarter our range of NIM stayed where it is largely because of the asset mix changes. And as Brian mentioned in his opening comments that our move going forward, you know we have about $30 million in this quarter our earnings are impacted to NIM, which was still a result of central bank rate reductions that we had over the prior quarters in Mexico and Chile and what not. So we see going forward that impact moving – working itself through that with the tail end of that and as we gave out in the last call the year end, we saw working through that in the second half of this year and worked through the impact we had in Q1.
Sean McGuckin: All right, next question please.
Operator: Thank you. Your next question will come from Sohrab Movahedi with BMO Capital Markets. Please go head. Apologies, the line has dropped from the call. Your next question will come from Steve Theriault with Bank of America Merrill Lynch.
Steve Theriault: Thanks very much. I think to come back to Anatol, if I could on credit cards. Anatol, at your Investor Day last year you talked about improving penetration, thought you could get to 40% to 50% in the medium-term. I think you'd gone from 20% to 25% over a couple years. So, if you could give an update on if you are still enjoying the kind of success you have been expecting; have you continued to see momentum there; has that metric risen to over 25% in the last year or so?
Anatol von Hahn: Yeah, we are very proud of what we’ve done. In fact, I think what we undertook to do at the time when we were together at the Investor Day in terms of doubling our portfolio, we are on track and in a number of categories I'd say even ahead of track. So, we’ve had asset growth year-over-year over 20%. The [indiscernible] also had very good growth. And as you probably saw, we were named as a best suite of reward cards - that was just announced I think about two weeks ago. So the results have been very strong. The penetration has gone up. When we talked, we were close to around 24% of our existing portfolio was penetrated with our own credit cards. We are now much closer to the 30% mark. So we are going at a very fast pace in the right direction. And I think one of the big things that we discussed when we were together was the fact that we have much greater comfort in offering credit cards to our own customers. And that has proven to be the right strategy.
Steve Theriault: So it sounds like still lots of runway. So did you say the card growth year-on-year was over 20%?
Anatol von Hahn: Yes.
Steve Theriault: Okay. And just to –
Anatol von Hahn: Sorry to be clear, it’s 20% in terms of asset growth.
Steve Theriault: Just to be clear, a couple comments on the margin. Are you comfortable to say that the improved mix on the asset side is enough to overwhelm the deposit margin compression you’d expect over the rest of year, so sort of flat to up in like we saw this quarter or not necessarily?
Anatol von Hahn: Yeah, we are expecting margin to stay flat. I think one of the things that we have seen however on the deposit side is that the margins there has been squeezed, particularly in the term and the GIC market. So that’s a difficult call to make as we look forward because much of it will depend on market forces and competitive forces, but we are expecting our margin to stay stable.
Steve Theriault: Okay. Thanks. That’s it for me.
Sean McGuckin: Next question please?
Operator: Thank you. Your next question will come from Gabriel Dechaine with Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Just as a follow up on the cards question there. We’ve got the interchange coming down, and I know Scotia has a few fairly attractive cards from a customer standpoint on the cash back front. To offset interchange, are you planning on adjusting the value proposition to customers or is it more on the cost side or some other levers? And then I’ve got a follow-up.
Stephen Hart: Okay. So, Gabriel, let me start with your first question. As you know, we look at the credit cards as part of our payment strategy and that in turn is part of how we anchor the relationship with our retail customers. So, very specifically, with respect to your point on the interchange, as you know we are the smallest bank in terms of credit cards in the Canadian market. So the effect on us is much less than it might be on anybody else. Having said that, we’ve been able to grow this business such that we don’t have to make any changes to our rewards program or other elements. It’s a very profitable business and we will continue to be so, but it’s part of an overall strategy towards anchoring the relationship with our customers as part of the payment side.
Gabriel Dechaine: Okay. And then just – thanks for that. Quick follow-up for Sean or Dieter, can you just give me a sense for the profit contribution of the combined Citibank Peru acquisition and Cencosud?
Sean McGuckin: The profit contribution on an annualized basis would be about $25 million per annum.
Gabriel Dechaine: So those two of those. Okay.
Sean McGuckin: Yes, combined, yeah.
Anatol von Hahn: Yes, combined.
Gabriel Dechaine: Thank you.
Jake Lawrence: Maybe we have time for one more call please.
Operator: Thank you. Your last question will come from Sohrab Movahedi with BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Okay. Sorry about that technical difficulty. Dieter, maybe last question for you on international then. You took some action; you’ve been taking some actions to right-size the cost space over there. There’s been some restructuring charges. I know we’ve talked about the second half of the year being more the – where we see much more of that benefit than the first half of the year. But are we seeing some of that benefit come through even in the first quarter?
A – Dieter Jentsch: You are seeing the benefit in the first quarter on our expense line. Our expenses were down Q-over-Q as you can see. And our operating leverage on a year-over-year basis is positive. And you are seeing the impact of some of our expenses and aligning what I would say our expenses to our revenue opportunity. So we have an ongoing program. We are halfway through in our branch consolidation that we announced in Q4; we are half way through that, as well as we are making good headway on other consolidation of major platforms and businesses. So I would say the answer is clearly yes, and more to come. But the second half impact largely stems from us being able to work through the tail end of the margin, continue to record low double-digit asset growth in LATAM and having that fall to the bottom line with stable PCLs and delinquencies. So you put together the flat expense numbers with flat – stable PCLs with good asset growth and the margin – the core margin holding its own, we continue to be very confident of burning some lint in the second half of this year.
Sohrab Movahedi: Very good. Thank you very much.
Sean McGuckin: All right. I will turn it to Brian for some brief closing remarks.
Brian Porter: Thanks, Sean. Just to summarize, we are encouraged on how we delivered our Q1 operating results with good performances from several of our core businesses, most notably good asset growth and margin expansion in the Canadian Bank, strong AUA and AUM growth in wealth management and double-digit asset growth in International Banking with the strongest growth coming from our key Latin American markets. And I just reiterate, the Pacific Alliance countries were expected to grow on average above 3% this year. So we are confident that we are on track to deliver improving financial and operating results to our shareholders over the balance of the year. And I would like to thank everyone for participating on our call today.
Operator: Ladies and gentlemen, that does conclude our conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.